Operator: Good afternoon. At this time, I would like to welcome everyone to the Boston Beer fourth quarter earnings conference call. [Operator Instructions] Mr. Jim Koch, Founder and Chairman, you may begin your conference. 
C. Koch: Thank you. Good afternoon to everyone and welcome. This is Jim Koch, Founder and Chairman, and I'm pleased to be here to kick off the 2011 fourth quarter earnings call for the Boston Beer Company. Joining me on the call from Boston Beer are Martin Roper, our CEO; and Bill Urich, our CFO. I'll begin my remarks this afternoon with a few introductory comments, including some highlights of our results, and then hand over the microphone to Martin who will provide an overview of our business. Martin will then turn the call over to Bill who will focus on the financial details for the fourth quarter and 2011 fiscal year as well as our outlook for 2012. Immediately following Bill's comments, we'll open up the line for questions. I'm pleased that in 2011, the Boston Beer Company continued to lead the craft beer industry both in innovation and variety. We brewed and sold more than 50 distinct styles of Samuel Adams beers including Whitewater IPA, Tasman Red and Thirteenth Hour to name just 3. Many of our new styles really push the boundaries of craft brewing. 
 And looking to 2012, we continue to innovate and we're excited about the introduction of our new spring seasonal, Samuel Adams Alpine Spring, an unfiltered lager that showcases Tettnang Noble Hops, as well as our Single Batch Series, a series of small batch limited-edition beers and other innovative beers like our new Whitewater IPA. These new beers have been well received by drinkers, retailers and wholesalers. And while it's too early to judge repeat purchase, we believe they will help us start 2012 strong, and our challenge will be maintaining this momentum. We continue to explore ways to improve our sales execution, our brand strength and our position within the craft category and remain positive about the future of craft beer and our potential for future growth. I am delighted that we have partnered with my friend Alan Newman to explore opportunities in craft beer beyond our Samuel Adams initiatives, and I look forward to the innovations this will generate.
 We completed the first year of our Freshest Beer Program and we are pleased with the results so far. We believe we are delivering fresher, better Samuel Adams to our drinkers while lowering wholesaler inventories, reducing costs and improving efficiency throughout the supply chain. We added over 30 wholesalers to the program since early November 2011 and currently have over 55 wholesalers signed up and at various stages of inventory reduction. We've achieved our target of 50% of our volume on our Freshest Beer Program by the end of 2011 and we believe this could reach 75% by the end of 2012. I'll now pass over to Martin for a more detailed overview of our business. 
Martin Roper: Thank you, Jim. Good afternoon, everyone. As we stated in our earnings release, some of the information we discuss in the release and that may come up on this call reflect the company's or management's expectations or predictions of the future. Such predictions and the like are forward-looking statements. It is important to note that the company's actual results could differ materially from those projected in such forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements is contained in the company's most recent 10-K. You should also be advised that the company does not undertake to publicly update forward-looking statements whether as a result of new information, future events or otherwise.
 Shipments in the fourth quarter were higher due to the extra shipping week in the fiscal quarter versus the previous year and the earlier shipment of our 2012 Samuel Adams Spring Seasonal as we accomplished a conversion from our Winter Seasonal to the new Alpine Spring in early January in most of our markets. Our depletions growth for the 2011 calendar year was equal to our shipments growth for the calendar year. We continue to invest in our brands and will likely increase investments in advertising, promotional and selling expenses, commensurate with the many attractive opportunities available in the craft category as well as the increased competition that we see. 
 During 2011, we sold commercially over 50 different beers, a significant increase over prior years. We expect this innovation to continue as we look to offer beers for a wide range of craft beer drinkers. We are investing in systems and capital equipments to enable us to manage this complexity effectively. We are prepared to forsake some earnings in the short term as we make appropriate investments in brand-building activities and capabilities to handle this complexity in order to position us well for long-term growth. We remain confident about the long-term prospects for the craft category and our Samuel Adams brand.
 In 2012, we intend to complete our national distribution footprint for both our Twisted Tea and Angry Orchard brand families. Our Twisted Tea brand family was introduced in the early 2000s, and in subsequent years, we focused our distribution efforts on markets where it received the highest level of drinker support. As this support grew over the last 5 years, we have been able to expand Twisted Tea distribution to new markets while still growing it in these core mature markets.
 In 2012, we will complete our national rollout with the addition of 15 states and anticipate continued growth across all our markets as we close distribution gaps with key competitors. Our Angry Orchard hard cider was launched in select markets in the second half of 2011 and received positive wholesaler, retailer and drinker support. This support has encouraged us to rollout Angry Orchard nationally in 2012. The gross profits from these brands have helped us increase our investment in Samuel Adams and have built a stronger Boston Beer brand portfolio with wholesalers and retailers. We will continue to look for complementary opportunities to leverage our capabilities, provided that they do not distract us from our primary focus on our Samuel Adams brand.
 In the fourth quarter we formed a subsidiary called Alchemy & Science, headed by Alan Newman, who founded Magic Hat Brewing Company, to act as a craft brew incubator. The mission of Alchemy & Science, which is headquartered in Burlington, Vermont, is to find new opportunities in craft brewing. During the first quarter of 2012, Alchemy & Science purchased the assets of Angel City Brewing Company, a well-known Los Angeles-based craft brewer. The acquisition of Angel City Brewing Company is not expected to have a material impact on first quarter financial results and it is too early to estimate fully the impact of Alchemy & Science on our 2012 results. Based on information in hand, year-to-date completions reported to the company through February 10, 2012, were up approximately 8% to 9% from the same period in 2011 with the same number of selling days. Now, Bill will provide the financial detail. 
William Urich: Thank you, Jim and Martin. Good afternoon, everyone. We reported net income of $17.8 million or $1.33 per diluted share for the 3 months ended December 31, 2011, representing an increase of $5.6 million or $0.46 per diluted share from the same period last year. This increase was primarily due to increased core shipments volume and the favorable impact of a state income tax settlement in the fourth quarter, partially offset by increased advertising, promotion and selling expenses. Core shipment volume for the fourth quarter was approximately 671,000 barrels, a 19% increase versus the same period in 2010. We believe wholesaler inventory levels at December 31, 2011, were at appropriate levels. Excluding the impact of the inventory build for the planned earlier launch of our Spring Seasonal, inventory at participating wholesalers as a result of the Freshest Beer Program was lower by an estimated 133,000 cases as of the end of the fourth quarter, reducing reported earnings per diluted share by approximately $0.05 for the year. 
 Our fourth quarter gross margin decreased to 56% for 2011 from 57% for 2010. A change in our core product mix and increased inventory obsolescence and freight costs were partially offset by price increases and lower processing costs. The company continues to focus on cost savings initiatives and efficiencies.
 Advertising, promotion and selling expenses were $5 million higher than those incurred in the prior year, primarily as a result of higher costs for additional sales personnel, increased investments in local marketing and increased costs of freight to wholesalers. General and administrative expenses increased $1.5 million compared to the fourth quarter of 2010, due to increases in salary and benefit costs, and stock compensation expense. Our effective tax rate for the fourth quarter of 2011 decreased to 30.2% from 35.5% in the fourth quarter of 2011 due to the favorable impact of a state income tax settlement in the fourth quarter of 2011 of $0.16 per diluted share. Net income for the 2011 fiscal year increased $15.9 million or $1.29 per diluted share to $66.1 million or $4.81 per diluted share compared to the prior year, due to the impact of the recall settlement of $0.92 per diluted share, increases in core shipment volume, revenue per barrel increases of 1.2% and the favorable impact of $0.16 per diluted share from the state income tax settlement, which were partially offset by increased advertising, promotion and selling expenses. 
 Core shipment volume was approximately 2.5 million barrels, a 9% increase over fiscal year 2010. Advertising, promotion and selling expenses were $21.5 million higher than those incurred in the prior year, primarily as a result of higher cost for additional sales personnel, increased investments in advertising and local marketing and increased cost of freight to wholesalers. General and administrative expenses increased by $4.4 million over the same period in 2010 due to increases in salary and benefit costs and consulting expenses and also due to the fact that in the first quarter of 2010 there was a $900,000 reversal of a 2009 expense for an option that did not vest.
 Our effective tax rate for the 2011 year decreased to 36.2% versus from the 2010 rate of 38.2%, as a result of the favorable state income tax settlement as well as higher pre-tax income, but with no corresponding increase in non-deductible expenses. Looking forward to 2012, based on information which we are currently aware, we are targeting 2012 earnings per diluted share of between $3.80 and $4.20. But actual results could vary significantly from this target. The $4 mid-point of the 2012 earnings per diluted share projection represents a 7% increase from the comparable 2011 earnings per diluted share of $3.73 which excludes the favorable impact of $0.92 per diluted share from the recall settlement and the favorable impact of the $0.16 from the state income tax settlement. The 2012 projection that include estimated expenses attributable to Alchemy & Science but does not include any gross profit contribution from Alchemy & Science. We are currently planning that 2012 depletions growth will be approximately 6% to 9% which is slightly higher than the 2011 trend. We believe that the competitive pricing environment will continue to be challenging but we are planning to achieve revenue per barrel increases of approximately 3%. We will continue to focus on efficiencies at our breweries. But we are also projecting significant increases in cost of packaging and ingredients for 2012. These increases are primarily due to barley cost pressures which we estimate will add over $8 million in incremental barley cost.
 Full year 2012 gross margins are currently expected to be between 53% and 55% due to anticipated price increases not fully covering cost pressures and some product mix changes. We intend to increase investment in advertising, promotion and selling expenses by between $8 million and $12 million for the full year 2012, not including any increases in freight cost for the shipment of beer products to our wholesalers. We estimate startup cost of $3 million to $5 million for new brands developed by Alchemy & Science our wholly-owned subsidiary of which $2 million to $3 million are advertising promotions and selling expenses. We believe that our 2012 effective tax rate will be approximately 38%.
 We are continuing to evaluate 2012 capital expenditures and estimate that they will be significantly higher than 2011 capital expenditures of $19.6 million. Based on current information, we estimate a range of $40 million to $60 million, most of which relates to continued investments in our breweries, and additional keg purchases in support of growth for the Freshest Beer Program and increased complexity. However, the actual amount stands may be well different from these estimates. 
 Based on information currently available, we believe that our capacity requirement for 2012 can be covered by our breweries and existing contracted capacity at third-party brewers. We continue to maintain a strong cash position with $49.5 million in cash as of December 31, 2011. During the 12-months ended December 31, 2011, we repurchased approximately 760,000 shares of our Class A Common Stock for a total cost of $62.8 million. From December 31, 2011 through February 17, 2012, we repurchased an additional 24,000 shares for our aggregate purchase price of $2.4 million. We have approximately $20.7 million remaining on the $275 million share buyback expenditure limit set by the board of directors. We will now open up the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Judy Hong with Goldman Sachs. 
Judy Hong: First, in terms of your depletion growth, the 7% you saw in 2011, is there any way you can help us understand so that beer versus Tea growth in that 7% growth. And how you're thinking about that going forward? 
Martin Roper: Judy, the Tea growth was higher than the beer growth. And I think we expect that to continue, I think more generally Tea has continued to show positive growth below at the niche product and had some limits in its national distribution growth. We get growth from distribution and also in existing core markets and there is still opportunities, but it's really a niche, and we're sort of very happy with its performance. And it's certainly growing faster than beer. On the Sam Adams side, growth has obviously been a little below our reported growth, which disappoints us. Our expectation would be that that would be higher and that's our number one focus. 
Judy Hong: Just interest terms of Sam Adams, if we look at the grocery plus the C store data from Nielsen, it looks like Sam Adams beer sales were down 1%. I'd imagine if you looked that on an all channel basis, it's still growing, but just seems like it's lagging the whole category growth. So maybe just help us understand going forward what's going to make that growth accelerate, what are some of the initiatives that you have so that you're competing more effectively against some of the smaller brands as well as the some of the better beer from the bigger guys that seem to have heightened the competitive dynamics within the category? 
Martin Roper: It's certainly true that over the last 2,3 years the competitive dynamics in the category have drastically increased even as the amount of shelf space and tap handles available to the category has also grown. And I think it's fair to say that in that time period, we have struggled to maintain our share of tap handles and share of new shelf space just being that the number one player and having a strong position from which to compete from. So that's been a challenge and we've responded with innovation that you see and with the further investments in our sales organization and also in our advertising and media support. We think that sort of competition is going to increase for a while until the wall or available shelf space basically stops the dramatic increase in SKUs going on it. It has to stop at some point in time. 
 It's also been exacerbated or helped in some ways by the wholesalers opening their doors to support our brands. So that seems we're in and we're reacting I think with a couple of different strategies, one of which is innovation around the Sam Adams brand portfolio and trying to make sure we have a Sam Adams beer across beer drinkers to a singular focus on driving Samuel Adams. That's what our sales focus is. That's what our brand focus is. That's what Jim and I spend most of our time on. We are actively working on packaging and advertising evolutions of our composition to address those competitive threats. I think as we look forward, we certainly aspire to growing Sam Adams in line with the category. And obviously we aren't doing that right now, but certainly what we aspire to and I think intend to do everything we can to try and keep that even if that involves increased investment. 
Judy Hong: And then the year-to-date depletion trends I guess being up 8%, 9%, was there any benefit from the Alpine Spring or the Spring Seasonal getting launched earlier this year just in terms of depletion rate so far? 
Martin Roper: We obviously made that a conscious decision, and it certainly looks to us the beer has been very well received and is showing growth over prior-year activity. It's a little hard to tell what that means as we only have 6 weeks growth and obviously it's a new beer and is benefiting from that trial. But we're hopeful that it's up for a good quarter. 
Judy Hong: But in terms of shipment versus depletion in Q1, the benefits you saw from a shipment basis that you've launched Alpine Spring earlier this year, does that come out in Q1 just in terms of the shipment growth? 
Martin Roper: I think it sort of depends a little bit on how Alpine Spring finishes. Certainly we had, and this relates to your question, the launch volumes for Alpine Spring at wholesaler at the end of the fiscal year. So we benefited in the fiscal year 2011 not only by the extra week, but also by our Spring Seasonal being ready for the conversion, which in many markets happened in that first week of January. How that exactly impacts first quarter shipments is difficult for us to tell right now. We still don't have orders in for March. Many of our wholesalers like all of our Freshest Beer wholesalers for instance, that's a reaction to demand. So it's really hard to know and I hope it's the transition to Summer Ale in March which will also complicate matters, because the Summer Ale conversion last year happened a little later. So it's very hard for me to comment on. 
Judy Hong: As it relates to Alchemy & Science, you're including the expense associated with that business, but it sounds like you're not including any of the profit contribution. So how should we think about the potential for profit contribution from that business as you're investing more in brand and so forth? 
Martin Roper: Well, I think at this point in time, we only have visibility to one activity which is the acquisition of the brewery in L.A., and we're still working through some permitting and licensing issues there. So we're not really in a position to start brewing. And that's where it's very difficult to know exactly what the volume impact and gross margin would be. So when we sit down to do our planning we basically plan the cost and then plan the volume and gross margin. So my ultimate comment I think would be it's a little early for us to comment on what the impact would be this year and we'll probably have more information to share at the end of our first quarter with our first quarter numbers. 
Operator: Your next question comes from the line of Caroline Levy with CLSA. 
Michael Lavery: Hi, this is Michael Lavery for Caroline. I was wondering if you could just talk about Angry Orchard a little more. You say it's going national. Obviously you took around 10 or so years for Twisted Tea to get there. This is going a lot more quickly. Is there any kind of comparable potential in size or is it going to be going national all at once or over the course of the year? How should we be thinking about that? 
Martin Roper: A couple of things, back to Twisted Tea. Twisted Tea actually went national a couple of times in the early 2000s and failed miserably. And so what happened there is we finally sort of worked out how to nurture a brand in some pockets and grow it out to national and Tea has been for us something that we struggled to accelerate. In fact, we probably failed to accelerate. It's in a niche and it's very odd in its behavior and we're very happy to have the leading alcoholic ice tea and to have that sort of brand strength over some of the years. But it sort of happened and we're happy to have nurtured it. I think with Angry Orchard, we launched in select markets in over September of last year. I think the reported numbers or suggested reported of numbers for the cider category are somewhere between 5 million and 7 million cases. And I think we'd be happy with in the first year with a share of that, I don't know, a 5% to 15%, I don't know what would be successful. But it seems to be logical. So that sort of gives you a sense of the size. And even if the cider category was to grow 20% a year for the next 3 years, you'll still only get to 12 million cases, and that would also then give you a sense as to what cider potential might be for us. 
Michael Lavery: And then you mentioned some of the 50 different kinds of beers like the Griffin's Bow and Thirteenth Hour. Are those ones that you're going to find just locally in Boston or regionally in the Northeast or scattered in just different markets? Obviously they're not very widespread. Some of those are newer or a little more obscure type of flavors. What kind of potential do they have? Are any of those ones could get big? 
C. Koch: Probably not. I think what you see within the craft category is this long tail of smaller and smaller volumes typically at higher and higher price points with often accompanying higher alcohol and higher flavor levels. So there is quite of a lot of diversity within craft beer and it is our philosophy to compete across the range of flavors and tastes within craft beer. It's been something that we've done from the very beginning. Double Bock was one of our very first beers back in 1980s. So we've always felt like we had great beers to offer to all craft beer drinkers, and we've always been willing to brew small volume beers that we think are really cool. And craft beer drinkers I think view Sam Adams as a brewer that is willing to take chances and to innovate and to show up not only in the cooler with 6 packs and 12 packs, but also a single batch series in a 22-ounce bottle at a $6 or even $7 price point. So it's a part of having a comprehensive set of brewing skills and turning those into a comprehensive set of brand styles and offerings. 
Michael Lavery: It seems like it would help your brand especially with more heavy craft drinkers. Is that still locally concentrated more like in New England or do you have some of those that reach further afield? 
C. Koch: They go all over the country. As I said, there is over 50 different ones. But no, they will go all over the country, some of which depends on what the configuration of retail is. If it's all convenience stores and grocery stores, we're not going to sell a lot of our Barrel Room Collection of $10 a bottle interesting Belgian style beers in a convenience store. But if it's a market that has a lot independent stores, particularly larger format independent stores, we'll show up in those places. 
Michael Lavery: And then just lastly on the CapEx guidance, that's obviously a big increase and you've mentioned some of the parts of that. But can you elaborate there on what's driving that? 
William Urich: Sure. The primary driver of the increases and acceleration of some brewery investments to deal with both growth and also impact of complexity and while the brewery investments do cover kegging and packaging, the primary dollars are in expansion of tanks and basically making sure that we have the tankage to support the growth. And part of that investment is also associated with the Freshest Beer Program. In order to ensure that we can pick the inventory out of the wholesalers here and it moves back into the brewery, and our preference is to hold it in beer tanks. And so some of that acceleration of that brewery investment was a recognition from the fourth quarter of last year that we needed to have, a little more tank capacity available to support the Freshest Beer Program and provide the flexibility and response time that our wholesalers needed, in order to ensure that the Freshest Beer was reaching the marketplace. 
Michael Lavery: You had said that you've got some time to grow before you really need an extra brewery. Is it part of it that this helps buy that time that you can do some of these adjustments that keep an actual new facility being required further down the road? 
Martin Roper: As we look at the breweries, we have options to incrementally expand them and we have made some investments long-term like in real estate in the Cincinnati market. And also when we put an investment into Pennsylvania brewery, we've planned for the scale on some of those investments. So we have a few more years to go and certainly in more years than in the planning cycle of something. 
Operator: Your next question comes from the line of James Watson with HSBC. 
James Watson: A few follow-up, probably on both of Michael's questions, getting back to the added complexity in the new SKUs. I was wondering if, first could you just give a little background on kind of how many SKUs you had maybe 10 years ago and 5 years ago and just much that's increased? And then looking at the marketplace, if you guys are putting out 50 SKUs and we might imagine some of the other big craft brewers moving generally in the same direction. At what point does this get almost too much in terms of SKUs out there, there just isn't room for additional brands to the point where it kind of shows out there it can barely make an impression in such a sea of complexity with so many SKUs out there? 
C. Koch: Well, James, in terms of sort of history, boy, it would be a wild guess, five and 10 years ago. I don't know, be it 20 years ago, even. I think maybe 10 years ago, I'm not going to do SKUs, because SKUs means deposits labels versus non-deposit, but I'll just talk about beer styles. Maybe 10 years ago, if you added everything up, you'd get 15 to 20 beers. And so it kind of have tripled, I guess, in that period of time. And in terms of thinking about the different styles in there, an ability to get represented in the market is I talked about in the last question. You have different retailer strategies and needs, and even in the same market you're not going to have a C store that we're quite happy if we get Sam Adams Lager and Sam Adams Seasonals in there. And you may have a very large format liquor store, superstore like a Total Wine that will want everything that we brew. And they will find a place for it. And essentially as the volumes go down, the prices go up. So you do get somewhat compensated for the complexity. And craft beer drinkers will go to both of those stores. They may go to a C store where they just want to grab a 6 pack of Boston Lager and then they may go to a large format independent when they want to shop for beer and see a huge cornucopia variety in almost a treasure hunt. So it's a different shopping experience. And we believe that the brewing capabilities and the creativity and the innovation that have been a hallmark of Sam Adams for 28 years position us very well to cover that entire range of craft brewer needs. And our wholesalers want us to be their first craft beer supplier and want us to fill as many of those needs as we reasonably can. 
Operator: And while we're waiting on James' question, would you like to go ahead and take Andrew Kieley from Deutsche Bank. 
Andrew Kieley: I just want to start off, Jim, on the acquisition. I just wanted to understand like how you think about what that brings to you, should we think about that as sort of an experiment or do you see it as a real growth opportunity? And I think this is the first time you've done one in a while, should we think about that as becoming more of a use of cash going forward? 
C. Koch: Well, you're talking about the Angel City acquisition? 
Andrew Kieley: Yes, exactly. 
C. Koch: Yes, I guess the way to think of it for right now is don't worry about it. It is in a year framework, I'd call it an experiment. What we do see is a craft beer environment that is-- its exploding. It's growing double-digits. The number of breweries in planning keeps going up. It's between 800 and 900 breweries in planning now. So this is a very rich but diverse and complex kind of business ecosystem. And our strategy is to participate in multiple ways because we think we have the strengths to do that. The brewing skills, the wholesaler network, the sales force and the industry understanding to bring a lot of value to multiple categories. And a craft brewery in Los Angeles, it seemed like a good idea. It's not a lot of money and we'll see what happens. 
Andrew Kieley: And then secondly, I just want to go back to the volume outlook and I guess following Judy's question, I may have missed it but if you said what you're assuming just for beer for the 2012 depletions. And then secondly, I guess, what inning you feel like you're at in terms of the C store channel which has been pretty phenomenal. It's hard for us to get data on ACV's or penetration in that channel or just how you think about continued growth in C store channel? 
Martin Roper: Sure, Andrew. I think we haven't historically and don't intend to sort of breakout growth within our brand families. So I'm going to duck the first question and just sort of say that we'd like to grow faster than we grew it in 2011. And then with regards to C stores, I think the published numbers from the companies that track it said that we're continuing to make progress in distribution. I think as we said on previous calls, that some of the activity of the other major suppliers in opening up that channel have helped us get a craft beers in there. And as it's been proven that the C-stores can service the craft beer drinker with a limited selection of craft beers and we certainly are in there. And we're seeing a good growth. I think as we think about our priority channels, we're growing the unpromised business. Even in the current environment, we've been able to do that. So that's a priority for us. Obviously the C stores have been a priority. We've invested and a dedicated C store team within our national account division over the last 3 years. That’s in some of where the sales force investment has gone to and that's starting to bear fruit. And frankly, that's helped by our brand portfolio of Tea. That Tea helped us in that part of the trade from a selling proposition and a reason to meet with this. So it's a real benefit of Tea to us from that point of view and then obviously the independent and super markets class of trades would be up there too as priority. 
Andrew Kieley: And just on the depletion strength so far not early into February, do you feel like that up 8% or 9% I think it was. Does that feel like a normal rate for you or do you feel like there is sort of a boost from the Super Bowl or a big reaction to the Alpine Spring launcher, do you feel like that's a normal rate? 
William Urich: It's really hard to tell. I think we are all disappointed in the result of the Super Bowl. 
Andrew Kieley: And then just one last, just on the cost side, if we can just get an update on how you're thinking about the big commodity cost buckets for this year and on CapEx, does the step up this year as to that cover a couple of years’ worth of growth and then we should CapEx I guess come down after 2012? Is that how we should think about it? 
Martin Roper: Let me take that from a planning perspective, we planned what we know. And our major commodity impacts are sort of barley which we sort of disclosed what we think, sort of fuel for freight and for some of our production processes. And that one has been particularly volatile over last 2,3 months and we did our final planning process in December. And we won't adjust that, probably till the summer. And so there, you'll obviously see a fair amount of volatility in oil and we're basing our numbers off where we were back in December. Other sort of commodity impacts for us, natural gas, off season very low and favorable and with good outlook on that. And then corrugated paper board seems to be some upward pressure, seems to be some consolidation in the industry that's driving that in terms of optimization of the mills and other activity, so some pressure there. And the second part of your question I think related to capital. We're right now are in the midst of a pretty big capital chunk. It reminds us a lot of when we booked Pennsylvania brewery. And we certainly are thinking that that is a one-off step up to get ahead of some of the issues that we saw in our October, November time frame. We're also instituting some internal planning efficiencies to try and optimize tank usage better and so I think it’s fair to say that at this in point in time we think that this is a lump that's going through our system in reaction to Freshest Beer and the growth that we're seeing, [technical difficulty] complexity. But obviously as with any forward-looking statement we would reserve the right to modify that ones we see, how effective we have been in designing that capital for to deal with what we're dealing with. And also with what we're able to make some improvement in tank utilization efficiencies through scheduling and other activities which would then take some pressure off the pressure point. 
Operator: Your next question comes from the line of James Watson with HSBC. 
James Watson: Question on the creativity behind the long tail of your brand, when you evaluate the overall long tail, how much weight are you putting on the actual financial performance of the long tail versus its ability to kind of brand you guys as a premier brewer. And not only the whole long tail but also just on the individual brands whether to promote them or just to take them out to a newer brand? 
William Urich: The small volume brands in the long tail, the accounting system doesn't really cost them right to begin with. So our desire is to make money on them. So we take a wild guess as to what they cost not only in the cost accounting picks up but all the complexity costs that they add. And we try to make sure that they have healthy margins. And there is no reason they shouldn't. Consumers are willing to pay more money for those kinds of beers and we want to recover that. We also believe that they are just part of who we are. And we have always done this kind of thing. We have always innovated going back to the very first extreme beer in 1993, called Triple Bock when we sold the beer for $100 a case. Everybody thought that was outrageous, but it led to a whole category of barrel-aged beers within the craft category. So it’s just part of who we are. And we're going to keep doing it. I guess that makes it part of our brand identity as well. And we do believe that it makes money. It's hard to tally it up accurately, but we try to make money on it too. 
James Watson: Is competition in that space ever got so intense as more, more brewers are rollout more and more styles. I mean, would there ever be a point where you consider saying, you know what, it's getting less profitable as kind of everybody has their 60 styles now or is it just always going to be this is who we are? 
Martin Roper: It's probably the latter, but the good news about those categories that long tail is, you don't advertise them on TV to sell them. If you occasionally will talk about them on TV, but it's really just to make sure that the craft beer drinker knows about our creativity and our innovation, because that's an important part of our category. So we don't really have to spend promotionally behind them. We just put them on the shelf and try to do it in such a way that they get noticed. We try to make great beers, so that we continue to win awards at the GABF. This year we got 4 medals, which was more than any of the other large craft brewers and one was for Octoberfest that we've had for many years and sells a lot, and one was for an IPA that we did only once in a special release and 2 others were for new beers that are in the single batch series and we may not make again. 
Operator: Your next question comes from the line of Marc Riddick with Williams Capital. 
Marc Riddick: I was wondering about the, with advertising promotional expense increased this year. Just wondering if you could sort of draw down a little bit as far as how much of that would sort of be more on the advertising side or if you're looking to increase personnel to help with the reach of the brands? 
C. Koch: Sure, I think it basically includes all of the above, both we have the personnel increases for our sales force and also related to expected activity over there with A&S. I think we disclosed some of the increase there is due to A&S. We have increased investment in our advertising, by that you mean all sort of media, both traditional and digital. We also have increases in point of sale and local marketing, both commensurate with the competitive activity, but also associated with the national rollout that we have going on. 
Marc Riddick: And one other thing and maybe this is sort of or somewhat weather related question, but I'll ask it anyway. I was wondering if you're seeing any sort of differences as far as the mix between on premise and off relative to what you would normally see, because based off what we've seen with weather during the course of the winter? 
Martin Roper: Yes. I don't think we've seen anything that would be weather related. We do get some grumbles from our ski resorts wholesalers about maybe less traffic, but nothing material showing up in our depletion numbers as it relates to on-off premise. 
Operator: Your next comes from the line of Gary Albanese with Auriga. 
Gary Albanese: I was just wondering if you could go back to Alchemy. I know Angel City is relatively small, just something to sort of play with for a timing. But with Alchemy is this going to and actually really become something a large entity, it's going to comp of scale. And will it be marketed under the Samuel Adams brand? 
C. Koch: Let's see. Actually, your last question is, right now we don't intent to market it under the Sam Adams brand. To your first question, will it become something big. Again, I hope so. But we're not planning on that. It is really right now just an incubator. It is an experiment. We don't want to try to stress it to grow real big at any time. We're just going to see what happens. We think there might be an opportunity for some of these interesting adventures in craft brewing. We believe we have the brewing and business skills to leverage some of these things maybe better than their current owners. But as you can see from how we're doing our 2012 plan and projections, we're not expecting anything from it for 2012. Maybe there will be something that will be material and significant, but we haven't put it in the plan as yet. 
Gary Albanese: And any other thoughts about dividends at some point? 
C. Koch: We don't have any plan at this point. Doesn't say it can change tomorrow. But I don't think we have a position at all, and Bill shaking his head. So we don't have any real comment on that. 
Gary Albanese: And just lastly, with the Freshest Beer Program, where do you expect the EPS cost is going to be for that in 2012? 
Martin Roper: I think that's obviously depends on how many wholesalers we're able to bring on and some of the wholesalers we brought on in November, December are still having their inventories reduced and that sort of effect too. And I think at this point in time we're not that willing to comment on the specifics other than just to indicate we provided you with a range of what our full year guidance is. 
Operator: At this time, there are no further questions. Gentlemen, are there any closing remarks? 
Martin Roper: Sure. We'd like to thank you all for joining us. We look forward to talking to you after the end of the first quarter and hopefully shedding some more light on the wonderful category that we're in and how exciting it is. And yes, look forward to seeing you then. And go out and have a beer. 
C. Koch: Cheers. 
Operator: This concludes today's Boston Beer fourth quarter 2011 earnings conference call. You may now disconnect.